Operator: Good day, and thank you for standing by. Welcome to Richardson Electronics Earnings Call for the Second Quarter of Fiscal Year 2025. All participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Ed Richardson, CEO of Richardson Electronics. Please go ahead.
Edward Richardson: Good morning, and thank you all for joining Richardson Electronics conference call for the second quarter of fiscal year 2025. Joining me today are Robert Ben, Chief Financial Officer; Wendy Diddell, Chief Operating Officer and General Manager for Richardson Healthcare; Gregory Peloquin, General Manager of our Power and Microwave Technologies Group, which includes Green Energy Solutions; and Jens Ruppert, General Manager of Canvas. As a reminder, this call is being recorded and will be available for playback. I would also like to remind you that we will be making forward-looking statements that involve risks and uncertainties. Therefore, our actual results could be materially different. Please refer to our press release and SEC filings for an explanation of our risk factors. I'm pleased to share an encouraging update on our second quarter performance as we are making significant progress with our multiyear growth strategy. During the second quarter, we experienced sequential improvements in sales and delivered positive operating income in October and November. In addition to this operational momentum, we generated positive free cash flow during the quarter. We achieved outstanding growth in our Green Energy Solutions business during the second quarter, with sales more than doubling compared to the prior year. Furthermore, we experienced a significant improvement in revenues from our semiconductor wafer fab business, underscoring the strength of our diversified business segments. Overall, second quarter sales reached $49.5 million, exceeding the $44.1 million we recorded in our Q2 last year, a solid 12% year-over-year increase. With this overview, I'll now hand the call over to Robert Ben, our Chief Financial Officer, who will provide a detailed review of our second quarter financial results and capital position. Following Robert's remarks, Gregory, Wendy, and Jens will offer in-depth updates on our business and unit performance, including progress on our growth strategies, new product developments, key program wins, and the expansion of our customer relations. Thank you. And now over to Robert.
Robert Ben: Thank you, Ed, and good morning. I will review our financial results for our second quarter of fiscal year 2025, followed by a review of our cash position. Consolidated net sales for the second quarter of fiscal 2025 increased 12.1% to $49.5 million compared to net sales of $44.1 million in the prior year second quarter. This was our second consecutive quarterly year-over-year increase in sales. Second quarter net sales growth was led by a 129% increase in sales for our Green Energy Solutions business unit and a 9.9% increase in PMT sales, which is due primarily to higher sales to semiconductor wafer fab customers. Sales growth for the second quarter of fiscal 2025 was partially offset by a 6.0% decrease in Canvas sales and a 22.8% decline in healthcare sales, reflecting lower demand in the quarter unrelated to any specific customer or program loss. Consolidated gross margin for the second quarter was 31% of net sales compared to 28.4% during the second quarter of fiscal 2024. The largest component of the 260 basis point increase in consolidated gross margin was due to margin expansion across most parts of our business. PMT's gross margin increased to 30.3% from 28.5% as a result of an improved product mix. GES gross margin increased to 32.0% from 29.2%, also due to product mix. Healthcare margin increased to 35.7% from 14.8% because of an improved product mix and manufacturing efficiencies. Partially offsetting these improvements in gross margin was lower gross margin for Canvas compared to the prior year second quarter. Operating expenses as a percentage of net sales improved to 32.3% for the second quarter of fiscal 2025 compared to 32.8% in the second quarter of fiscal 2024. Operating loss was $0.7 million for the second quarter of fiscal 2025 versus an operating loss of $2.0 million in the second quarter of last year. Income tax benefit was $0.3 million or an effective tax rate of 28.8% versus an income tax benefit of $0.5 million, or an effective tax rate of 21.6% in the prior year second quarter. Net loss for the second quarter of fiscal 2025 was $0.8 million or $0.05 per diluted share compared to a net loss of $1.8 million or $0.13 per diluted share in the second quarter of fiscal 2024. EBITDA for the second quarter of fiscal 2025 improved and was approximately breakeven versus negative $1.2 million in the prior year second quarter. Please note that EBITDA is a non-GAAP financial measure, a reconciliation of the non-GAAP item to the comparable GAAP measure is available in our second quarter fiscal year 2025 press release that was issued yesterday. Turning to a review of the results for the first six months of fiscal year 2025. Net sales for the first six months of fiscal year 2025 were $103.2 million, an increase of 6.7% from $96.7 million in the first six months of fiscal year 2024, which reflected higher sales across our business segments except for Canvas. Gross margin was 30.8% of net sales, which was unchanged from the first six months of fiscal 2024. As a percentage of net sales, operating expenses for the first six months of the fiscal year were 31.1%, compared to 31.3% for the first six months of the prior fiscal year. Operating loss for the first six months of fiscal year 2025 was $0.4 million as compared to an operating loss of $0.5 million for the first six months of fiscal year 2024. Income tax benefit was $0.2 million during the first six months of fiscal 2025 versus an income tax benefit of $0.1 million in the prior year's first six months. The company reported a net loss of $0.2 million or $0.01 per diluted common share for the first six months of fiscal year 2025, versus a net loss of $0.6 million or $0.04 per diluted common share for the first six months of fiscal year 2024. EBITDA for the first six months of fiscal 2025 was $1.7 million versus $1.4 million in the prior year's first six months. Moving to a review of our cash position. Cash and cash equivalents at the end of the second quarter of fiscal 2025 were $26.6 million compared to $23.0 million at the end of the first quarter of fiscal 2025. Operating cash flow was $5.5 million compared to $0.8 million in the prior year second quarter. This was the third consecutive quarter of positive operating cash flow. Capital expenditures were $0.5 million in the second quarter of fiscal 2025, primarily related to our facilities and IT systems, versus $1.5 million in the second quarter of fiscal year 2024. As a result, free cash flow was $4.9 million for the second quarter of fiscal 2025. We paid $0.9 million in cash dividends in the second quarter of fiscal year 2025. In addition, based on our current financial position, our board of directors declared a regular quarterly cash dividend of $0.06 per common share, which will be paid in the third quarter of fiscal 2025. As of the end of the second quarter of fiscal 2025, the company had no outstanding debt on its $30 million revolving line of credit with PNC Bank. Now I will turn the call over to Gregory Peloquin, who will provide more details for our PMT and GES business groups.
Gregory Peloquin: Thank you, Robert, and good morning, everyone. As we have stated in prior calls, we remain very optimistic about the future, both over the short and long term. Coming out of FY 2024, we had a strong backlog, numerous new product introductions, and an expanded customer base. Several development programs are transitioning from beta testing to preproduction. Building on this positive momentum, we are pleased to report continued growth in Q2 FY 2025 in both our GES and PMT strategic business units, including quarter-over-quarter and year-over-year growth in our semiconductor wafer fab equipment manufacturing business. Starting with our GES business, GE sales grew 129% to $5.9 million. The strong sales growth in this quarter was enhanced by strong bookings and an increased backlog growing by over 16% in Q2. Many of our recent achievements have been in development since FY 2023 and FY 2024. It is rewarding to see them come to fruition. Our pitch energy modules and other products continue to gain momentum and market share as we add new customers and complete beta testing with our key owner-operators. Today, we serve dozens of wind turbine owners and operators, including exclusive partnerships with the top four owner-operators of GE Wind Turbines in North America. Specifically, RWE, Inverny, Inel, and NextEra. Additionally, we continue to grow this program globally, expanding into Europe and Asia with GE and other new products for turbine platforms such as Suzelan, Senvion, Nordex, and SSB. As we have mentioned previously, our GES growth strategy is focused on power management applications in the green energy space. In a short time, we have designed multiple products, received several patents, and built a growing base of large, global, and industrial-leading customers and partners. This process positions us to establish a more predictable quarterly revenue and booking stream as our GES business scales. We believe our second quarter performance demonstrates the benefits of our multiyear GES growth strategy. Additionally, our customers continue to highlight our strong market position in our core GES power management applications. Our global pipeline continues to grow as we capitalize on numerous opportunities to support the significant energy transformation, such as wind turbine repowering projects. Turning to Power and Microwave Technologies Group or PMT, which includes the electron device group, our legacy tube and semiconductor wafer fab equipment business, and the power microwave group. Sales were $34.4 million, up 9.9% compared to the prior year. We continue to see growth in our RF and microwave components business and with our semi fab equipment manufacturing customers. Our combined GES and PMT backlog remains strong, as it increased to over $101 million in Q2. Given our inventory position, we will continue to ship many incoming orders from stock as we did last quarter. We remain focused on managing all aspects of our business to maximize profits while meeting the needs of our expanding customer base. A key component of our growth strategy is selectively expanding our global technology partnerships. We continue to add new partners who address technology gaps in our offering and align with our strategic growth priorities. Through these partnerships, we often identify opportunities for new products that we design, manufacture, and test in-house. This approach enhances the value we provide our customers and allows us to capture more revenue while expanding and diversifying our customer base. Our technology partner relationships are extremely strong, and when appropriate, we collaborate on new component development, strategic purchases, and long-term planning. We are investing in our infrastructure to support our growth. This includes hiring talented design and field engineers to enhance our design and manufacturing capabilities. Our growing in-house design engineering and manufacturing teams are doing an excellent job supporting increased demand for current products and new product designs. Our field engineering team continues to identify new customers and opportunities. With this team, we will keep identifying, developing, and introducing innovative products and technology for green energy, power management, and RF microwave applications. Heading into Q3 FY 2025, we are excited about the opportunities within PMT and our GES businesses. As I mentioned, Q2 FY 2025 bookings were extremely strong in our GES SBU, and we see a positive outlook in our semi fab market. Key customers in GES and RF microwave are forecasting growth in FY 2025, and our technology partners continue to support our unique global business model driving our business forward. We have many reasons to be optimistic about the growth strategies we are pursuing and the future of our business. Our unparalleled capability and global go-to-market strategy set us apart in the power management, RF and microwave, and green energy markets. We have developed a unique business model that combines legacy products with new technology partners and GES capabilities, aligning our go-to-market strategy to deliver engineered solutions to a global customer base. This model differentiates us from our competition. By maintaining our steadfast and creative focus on customers, we continue to excel, capitalizing on opportunities as they arise. The execution of our strategy has never been stronger, and it is evident that our customer and technology partners rely on Richardson Electronics products and support more than ever. And with that, I'll turn it over to Wendy Diddell to discuss Richardson Healthcare.
Wendy Diddell: Thank you, Gregory, and good morning, everyone. In the second quarter of fiscal year 2025, our healthcare division generated $2.3 million in sales, reflecting a 22.8% year-over-year decline. All product lines experienced lower performance compared to the prior year. Despite the sales drop, gross margin improved to 35.7%, up from 14.8% in the same period last year and 32.3% in Q1. This growth was driven by improved manufacturing absorption and a favorable product mix, notably higher margin parts and CT tube sales. We maintained steady production of repaired Stratton Z tubes and advanced our repair program for the Stratton MX, MXB, and MXB 46. Although the first MX series life tube fell short of expectations, our engineering team quickly isolated the problems and implemented improvements. This allowed us to restart live testing in December, keeping us on track for launch later this fiscal year. Through disciplined expense management and an improved gross margin, our losses year-to-date are less than the prior year. Looking ahead, we are committed to enhancing sales and profitability while exploring strategic options for the healthcare business. I'll now pass the call to Jens Ruppert to discuss Canvas results.
Jens Ruppert: Thank you, Wendy, and good morning, everyone. Canvas engineers, manufacturers, and sells custom displays to original equipment manufacturers across global industrial and medical markets. Despite some macroeconomic-related challenges impacting the second quarter, Canvas remains resilient in its mission to deliver high-quality solutions tailored to our customers' needs. Net sales decreased 6.0% to $6.9 million during the second quarter of fiscal 2025, compared to $7.3 million in the second quarter of fiscal 2024, reflecting a temporary dip due to lower sales in our European markets. Nevertheless, we are confident in our ability to navigate these fluctuations. The German economy, one of our core markets, is currently facing headwinds. The IFO Business Climate Index, a key indicator for economic conditions, dipped to 84.7 points in December from 85.6 in November, marking the lowest level since May 2020. While this represents challenges, Canvas is poised to adapt and emerge stronger by focusing on innovation and customer engagement in this difficult global economic environment. On a positive note, our backlog grew from $38.1 million at the end of fiscal 2025 first quarter to $39.1 million at the end of the fiscal 2025 second quarter, providing a robust foundation for future business. The increase highlights the trust our customers place in our products and services. Gross margin as a percentage of net sales was 31.7% during the second quarter of fiscal 2025, compared to 33.5% in the same fiscal 2024 period, largely due to increased freight costs. We are actively exploring ways to optimize costs and improve efficiency to enhance our margins moving forward. During the quarter, Canvas secured orders from both repeat and first-time medical OEM customers for a variety of applications. Additionally, our solutions continue to serve numerous commercial and industrial applications. For instance, our products enhance passenger information systems within trains and buses, as well as human-machine interfaces (HMI) technologies used in printing, vending, milling, and packaging machines. Our strategic initiatives are designed to elevate Canvas' visibility and position us as a leading player in the market. By actively seeking new opportunities and fostering connections with potential customers, we aim to drive sustained growth and innovation. We continue to engage directly with industry peers and stakeholders, fostering collaborations and strengthening our market presence. Despite recent economic challenges primarily in our European markets, we remain committed to supporting our customers as they adapt to these conditions. Many are taking a cautious approach to new product development and inventory management, and we are here to help them succeed in this environment. Looking ahead, we are cautiously optimistic about improving demand in the North American markets. Positive indicators suggest a steady recovery as conditions stabilize, reinforced by encouraging customer feedback. Our dedicated sales teams continue to explore new opportunities while I focus on implementing strategic plans to ensure sustainable growth and deliver long-term value for our shareholders. I will now turn the call back over to Ed Richardson.
Edward Richardson: Thanks, Jens. We knew Q2 would be a challenge. However, it's nice to see the plan to return to growth in the third quarter, supported by incremental growth in Canvas backlog. Despite the ongoing uncertainties in the global and changing political landscape, we remain steadfast in our commitment to our long-term growth strategies. Our Green Energy Solutions business continues to present exciting opportunities with an expanding pipeline of global customers across the wind energy, transportation, and power management sectors. Shipping orders from inventory on a regular basis helps improve our cash flow and expands our gross margin. Product deployment and customer approvals are still taking longer than we'd like, but these partnerships are solid and support our confidence in our multiyear growth strategy. At the same time, we're seeing strong momentum in our semiconductor wafer fab assembly business, rising semiconductor demand, driven by advances in AI, increased data center capacity, 5G deployment, and efforts to localize semiconductor manufacturing is fueling this growth. While we have good visibility for this coming quarter, we anticipate sustained growth in the semiconductor wafer fab equipment market, which provides the resources needed to support the continued investment in our Green Energy Solutions business. Our disciplined approach to managing expenses, optimizing inventory levels, and maintaining a strong balance sheet remains a top priority. These efforts will enable us to generate operating leverage as sales continue to grow. On behalf of everyone at Richardson Electronics, thank you for your continued support. We look forward to sharing updates on our progress, and we're now happy to answer your questions.
Operator: Thank you. Ladies and gentlemen, due to time constraints, we ask that you please limit yourself to one question and one follow-up. Again, we ask that you please limit yourself to one question and a follow-up until all have had a chance to ask a question. After which, we will answer additional questions from you as time permits. As a reminder, to ask a question, please press star one one. To withdraw your question, please press star one one again. Our first question comes from the line of Anja Soderstrom from Sidoti.
Anja Soderstrom: Hi. Thank you for taking my question, and congrats on the quarter here. It seems like you are trending out as expected with a pickup in the second half. But I'm just wondering what those recent multimillion orders, what time frame are you expecting those to ship within?
Gregory Peloquin: Good morning. Yes. Can you hear me?
Anja Soderstrom: Oh, yeah.
Gregory Peloquin: Yes. We've already started to ship. The balance of it will ship throughout calendar year 2025. But those products, those contracts we've already started to ship at the beginning of December. It's moving along great.
Anja Soderstrom: And those were for the non-GE wind turbine pitch modules, right?
Gregory Peloquin: Well, there were a combination in terms of overall bookings that I mentioned in the press release were both for GE wind turbine platforms with two of the largest owner-operators of turbines. One of them was a new customer, Xcel Energy, and the other one is RWE.
Anja Soderstrom: And how penetrated are you with those? Would there be potential for follow-ups?
Gregory Peloquin: Absolutely. In fact, that's one of the things that Ultra 3000, you know, we shipped close to $30 million, and the numbers we see, we haven't even put a dent into the opportunity. So, yeah, they'll continue. This is phase one of most of it. What they do is they pick a number of farms, they roll that out, do another capital expenditure at the end of 2025, do another rollout, and then it continues until they've completed all their wind turbines. One thing I want to add, which is really fantastic for the company, is the large order from this customer was for a repower program. And so this is where we are listed on the bill of materials when they do a repower for their entire wind turbine, which is similar to if you took a car apart and replaced everything on it and made it brand new again. And so Richardson being listed on the bill of materials for repowers should expedite the sales growth of the Ultra 3000 and the multi-brand.
Anja Soderstrom: Okay. Thank you. And I'm just gonna squeeze in one more. Can you just talk to some other GES opportunities that you think could come to fruition in the near term?
Gregory Peloquin: Yeah. The programs we're working on, the multi-brand, we introduced that at the end of Q2 in Europe. That's getting traction both in Asia and Europe. We have a number of testing going on with our IGBT modules also in wind turbines. We're in the process of finalizing our ESS strategy. And so, you know, these aren't, you know, it's replacement of lead-acid batteries, but these are products that don't exist today. And they have to be designed to support and work in the customer's entire system, not just in that battery box. So the engineering team has done a great job. It takes time. But all those programs are moving forward, and we have weekly and biweekly calls with some large owner-operators to continue making the product fit and work within their system moving forward. So very positive.
Anja Soderstrom: Okay. Thank you. I'll get back in queue.
Gregory Peloquin: Okay.
Robert Ben: Thanks.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Bobby Brooks from Northland Capital Markets.
Bobby Brooks: Hey. Good morning, guys. How are you?
Gregory Peloquin: Good morning. Thank you for taking the question. So in the prepared remarks and the press release, you know, new program wins were mentioned as a benefit to the second quarter. So I was just hoping to get some more color on where those wins occurred and why. I know maybe some of it was from the earlier press release of those multimillion-dollar orders. Are those, and then just secondly, are those program wins expected to be a multi-quarter benefit, or is it more like a new customer buying Ultra 3000s for the first time for kind of a smaller project?
Gregory Peloquin: Yeah. I'll touch on the booking side of it. There are new customers. And, again, one of the things I've always mentioned over the past two years is we continue to gain market share. You know, we started out with a couple of large customers. Today, we're selling to over seventeen of them in North America. And so from a bookings point of view, they were customers that we're working with, doing designs, and then we did a great job supporting it. Got approved by engineering, they got their capital expenses approved, and they placed the order in the second quarter. So it's new customers. But, like I mentioned, the larger orders that we did the press release on were with the Ultra 3000.
Bobby Brooks: Okay. And so just to, like, kinda confirm, those new program wins are really kinda centered within the turbine opportunities, or was it anything outside of that?
Gregory Peloquin: Yeah. The majority of it was in the wind turbine application.
Bobby Brooks: Okay. Great. And then just kinda so SG&A was up 10% year on year compared to sales up 12% on a year-over-year basis. The press release mentioned it was tied to incentives that were tied to sales growth. So I'm just trying to sort out if we see similar growth rates going forward, is SG&A gonna continue to increase at a similar pace? I'll just add in the first quarter, sales were up 2.2% and SG&A was 2%. So just trying to get a feel of, like, where SG&A trends as sales grow.
Robert Ben: Hi, Bobby. It's Robert Ben. Yeah. As you noted, most of the increase in the second quarter was due to the incentives tied to the sales growth. In the quarter a year ago, we really didn't pay out any incentives due to the performance then. You know, there was a large loss and sales were low. This quarter, with the improvement over the six-month period, there was an increase there. Regarding going forward, I think we expect some sort of an increase in the next two quarters, again, based upon sales growth, but not at the levels that, you know, you mentioned on the 10%.
Bobby Brooks: So it'll lag sales growth more notably?
Robert Ben: Yes.
Bobby Brooks: Got it. I'll return to the queue. Thank you, guys.
Robert Ben: Thanks, Bobby.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Brett Davidson from InvestLetter.
Brett Davidson: Good morning from sunny, fifteen-degree Buffalo.
Gregory Peloquin: Good morning, Brett.
Robert Ben: Good morning, Brett.
Brett Davidson: Good morning. I got, like, a couple of quick questions. One is, can you guys provide an update on the shipping timeline for the diesel locomotive family of products?
Gregory Peloquin: Yeah. The one major program we're working on is expected to ship over a million dollars at the end of Q3. And that's the main one, and then they're taking that product, obviously, building up their locomotives and shipping them to their customers to get testing done there. So on electric locomotives, we have a large shipment going out, which is scheduled to go out at the end of Q3.
Brett Davidson: Now are those the starter modules or the battery pack?
Gregory Peloquin: No. That's the electric locomotive. So on the starter modules for electric and diesel locomotives, those have started to ship. They've just given us their forecast for a thousand trains this calendar year. And we'll start shipping those this quarter and then throughout 2025 in a thousand trains, one per train.
Brett Davidson: Wow. And can you provide color on the drawdown in inventory during the course of the year? Are we looking at, you know, a couple million dollars, five million dollars, ten million dollars? What does that kinda look like through the course of the year?
Robert Ben: Hi, Brett. It's Robert Ben. Yeah. The inventory issue was down a little bit in the second quarter, and that's due to, you know, improved management. We're trying to bring in less inventory and sell what we have on hand. But going forward in the third and fourth quarter, as we've said, we're expecting an increase in sales. And so I think there'll be some growth, but it shouldn't be that significant. We're gonna have to bring in some products to sell, you know, for Q3 and Q4 sales. But I don't expect significant growth there.
Brett Davidson: Okay. So you're expecting that to track kind of where it is at now then? Not a drawdown during the course of the remaining portion of the year.
Robert Ben: Yeah. Probably not a drawdown with increased sales.
Brett Davidson: Got it. Alright. Thank you.
Robert Ben: Not a significant drawdown.
Brett Davidson: Got it. Thanks.
Operator: Thank you. As a reminder, to ask a question, please press star one one. Our next question comes from the line of Ross Taylor from Ares Investment Partners.
Ross Taylor: Thank you. Alright. You guys, congratulations on the progress you guys are making. So quick. In the past, you've talked about the outlook for the semi-cap equipment-related space as having calendar 2025, particularly the second half, showing a significant run rate and your key customers indicating that they were expecting, you know, the second half of 2025, first half of 2026, you could be running at levels equal to or better than you saw at your peak a few years ago. Is that scenario still playing out, you think?
Gregory Peloquin: Right now, I think we mentioned it in the script that visibility is more challenging. Just that for the, for example, for us, for the Q3, we have good visibility, and the numbers look good. They should increase again. But beyond that, it seems like our customers are kinda keeping their cards a little closer to the vest this time. We're not hearing anything to the contrary on that, Ross, meaning they're not telling us to expect a drop-off. As a matter of fact, you know, they tell us to keep the momentum going. That's what we can see right now. So no bad news has been given to us. And we continue to see quarter-over-quarter increases in our revenue and in our demand.
Ross Taylor: Okay. Great. And second, I think people at times get confused about your wind turbine business. They see moves or steps that might slow the adoption or implementation of new turbines as being negative to your business. It's my understanding that you're really an aftermarket, you know, a refit rebuild type play, and that market is still very lightly penetrated even from comments you made on this call today. So is that really the case where if the U.S., if the President were to or president-elect were successful in following the adoption of new wind turbines, that shouldn't have a significant impact on your wind turbine-related business over the next several years?
Gregory Peloquin: Yeah. That's correct. Our products go into existing wind turbines today. And as I mentioned before, we've also now started to participate in the repowering of wind turbines, which most people do instead of buying new ones. Again, like cars. So that'll have no effect if there's a decrease in new wind turbines being shipped over the next or solar in the next couple of years because our business is focused on existing wind turbines and getting the lead-acid batteries out of those.
Ross Taylor: Great. And if I can sneak one or two quick ones. One with regard to your inventories, where do you stand with regard to building up your inventory of tubes to cover for the fact that Thales will be stepping out of the business? You've been building that up fairly aggressively. It's a fairly significant portion, I think, of your overall inventories. And at some point, my assumption is you'll probably achieve a level where you're comfortable, and at which point, then you will stop building them and actually eventually those will become cash flow as they move into the market. And the second question I wanted to ask just quickly is regarding the medical imaging space. In the past, you've talked about the idea that it basically needs to either be able to swim on its own or you would take steps to move away from it, monetize it. Where do we stand with regard to whether that's gonna be able to swim on its own or need to be monetized? So Thales-related inventories as a percentage of overall inventories and medical imaging as a feature.
Edward Richardson: Sure. As far as Thales is concerned, we've had an agreement with Thales now that goes back about twenty years. And so we were manufacturing identical products in Breese, France that we acquired from Philips, and we made an agreement to consolidate our manufacturing facilities with theirs in Turnau, France. And it's been a very successful agreement. We do over twenty million dollars a year on those products. The unfortunate part is that Thales has made a decision that they are going to exit the manufacture of those products in the next two or three years to come. And so it puts us in a position to try to move equipment and technology that belongs to us to other sources. So in the meantime, we built up a very substantial inventory, which now you're seeing start to level off, and they're going to discontinue that, Wendy. Is it in 2025?
Wendy Diddell: Right. We have one more year of inventory build, Ross, and that will end at the end of December.
Edward Richardson: So that inventory will go down substantially as we move the equipment to other sources, and you'll continue to see that. We had a similar situation when we closed our business in France and moved it to Dallas. We took in ten million dollars worth of inventory, and I can tell you that we sold every one of those tubes. And so although it looks like we're buying a lot of inventory, tubes are like fine wine. They last forever. They're in a vacuum, and both those tubes are gonna sell. Our problem is gonna be trying to find other sources for those tubes.
Ross Taylor: Okay. Well, and what you're you have, I assume, you're in the process of attempting to qualify or to discover who those sources are people are gonna be.
Edward Richardson: That's correct. I mean, we could move them here, but, you know, we bought twenty-five different divisions of two companies, and it takes over a year to relocate equipment, and sometimes it takes another year to get it operating correctly. So it's a massive project.
Ross Taylor: Okay. But it sounds like you guys are on top of that, and the business continues to roll forward as expected in spite of a small hiccup on the revenue and EPS side in the quarter this past.
Edward Richardson: Absolutely. I mean, we've made acquisitions, as I mentioned, of over twenty-five tube companies in the world. So we've been through this many, many times.
Wendy Diddell: Yeah.
Ross Taylor: Great. So, Ross, let me take your second question regarding the healthcare business unit. And at the risk of being very vague, as we've indicated, we are focused on running the business, and we are making improvements. The gross margin is improving. The factory absorption is improving as we introduce the additional tubes that we've been discussing. So, you know, we feel good about the business here. It is still losing money, and we are still exploring other alternatives.
Ross Taylor: Okay. Great. Thank you very much.
Wendy Diddell: You're welcome.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Bobby Brooks from Northland Capital Markets.
Bobby Brooks: Hey, guys. Just wanted to jump back on real quick and ask, so $142 million in backlog. I think Gregory mentioned $110 million of that was PMT and GES backlog. I was just trying to get a sense of, one, the timeline of that backlog turning into revenues, and then second, is it right for me to assume that much of that backlog will direct more nuanced than that?
Gregory Peloquin: On the for PMT and GES, the combined backlogs, $101 million, and looking at that backlog, about 80% of it is currently scheduled to ship over the next nine months. I don't have that breakdown. So what we're excited about is the new business with new products and new technology. A lot of that backlog is also tube-based, and so that's scheduled out in some cases for a longer period of time. And then the LAN backlog, they don't give us a lot of visibility when they're gonna take that. And as Wendy mentioned, what they've given us for Q3 shows strong growth again in Q3. But outside of that, it's kinda hard to put a number on it.
Bobby Brooks: Okay. But is so is a lot of that is in for the correction on the $101 million. But is a lot of that backlog then more they say, hey. We wanna get it shipped now, and then you go out and produce you go and make it? Or is it them saying hey. We want it now, and then you just tapping into your inventory and shipping it right away.
Gregory Peloquin: No. Other than the MRO business, most of our backlog is scheduled. And in most cases, they give you a twelve-month schedule. Mainly based on people are still having nightmares over the long lead times just eighteen months ago where things were going out to fifty-six weeks. So people, you know, are giving us orders, and in most cases, specifically on the GES and PMT side, it is a twelve-month schedule, and looked at it recently before the board meeting, about 80% of that is scheduled to ship over the next twelve months. However, you can see our book-to-bill is continuing to grow and then be strong. We have over hundreds of current design opportunities. We look at a design registration program where we register every single design we're working on globally and track it to fruition. And we're seeing, you know, a lot of wins. Some stuff we thought we'd get in Q4, we got in Q2, and that kind of stuff. You just kinda manage that last 20% of the business, but the bookings continue at the rate they are, which what we've seen for the past couple of quarters, obviously, the backlog will grow. And, again, we're getting scheduled orders over twelve months, and about 80% of that today is showing that it's gonna ship in 2025. And, Bob, if it's the Ultra 3000, those will ship from inventory.
Wendy Diddell: That was part of his question because we do have those built. If it's other products, in a lot of cases, we have raw materials already in stock that will be used. So it's not a matter of us having to go out and buy 100% of the component for new orders that we get.
Gregory Peloquin: No. With our inventory position, we have, especially this fiscal year, shipped a majority from stock. And that's why you've seen a reduction in inventory because we built it up due to lead times. Make sure we take care of our customers. And so that's kind of the process we go through to manage. Okay. You don't get a lot of visibility. We're able to support the customer.
Bobby Brooks: Yeah. For sure. I can appreciate that. Thank you guys for answering the question.
Gregory Peloquin: Thanks, Bobby.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Andrew Rheum from Odinson Partners.
Andrew Rheum: Hi, guys. Nice quarter. Gregory, can you give the detail on the backlog in PMT and then also GES?
Gregory Peloquin: Sure. Within GES, you know, the backlog grew substantially. It's right around $45 million. And that backlog is scheduled, as we've just talked about, to all ship in 2025. On the, you know, PMT side, which is our RF and microwave components business and our legacy MRO tube business, that's about $50 million. And that's kinda how it breaks down. So the GES backlog has grown quite substantially, up to $44 million, and the balance of it is PMT.
Andrew Rheum: Okay. I guess, can you just clarify if PMT is $50 million and GES is $45 million. That's $95 million. And you said total was $101 million.
Gregory Peloquin: Well, it here, yeah. So right now, it's GES is $44 million, and the balance of that equal $101 million is, I got a bunch of documents here, is PMT.
Andrew Rheum: Very good. Alright. And then I guess you talked, well, actually, I wanna go back to the question earlier on the inventory that related to the Thales. What is that current balance?
Robert Ben: It's around $30 million.
Andrew Rheum: Okay. So very similar to last quarter.
Robert Ben: That's about right. Right.
Andrew Rheum: We didn't have, we were imagining at an increased cost. So yeah.
Gregory Peloquin: Okay. And then I wanna go back. I think you guys have said previously that you might add up to $9 million or so. Is that still the...
Wendy Diddell: No. I think we have about $5 million left in Thales inventory. Is that what you're asking? In terms of purchases this year?
Andrew Rheum: Yeah.
Wendy Diddell: About $5 million this year in calendar year 2025.
Edward Richardson: Yeah. And we're selling over $20 million a year of that inventory. So it will start to deplete.
Andrew Rheum: Okay. Yeah. That was the other thing. I because I thought previously that you guys had said that that was kind of long-dated inventory that you would sell it out over, I think the commentary that I remembered was over the next, like, seven years, but that doesn't sound like what you're saying today.
Wendy Diddell: No. That's about correct. Yes.
Edward Richardson: We're 2030.
Andrew Rheum: Right. So when we first said it was seven years, now it's five years.
Andrew Rheum: Yeah. Okay. And then maybe just lastly, you guys did have done a nice job on the cash flow from here over fiscal 2025. What is the key in terms of, I mean, so far, in this case, this quarter, I guess, was more kind of that AR, AP was a big driver. But, yes, if you look at the second half of the year, what allows you to continue to put up nice positive cash flow?
Robert Ben: Well, earnings would certainly help. Yeah. We do expect a good increase in sales in the second half of the year. And with continued tight management of inventory, and then, of course, accounts receivable, we do expect to grow due to the increased sales, but that turns pretty well. Our DSO is around forty to forty-five days. So continuing to do what we're doing.
Andrew Rheum: Yeah. So if working capital is kind of stable, sales go up, and then the profit should kind of lift with it, and then that kind of drops down. I mean, that's kind of what I was thinking, just that the profitability is the bigger driver in the second half of the year versus working capital in the first half of the year.
Robert Ben: I think that's correct.
Andrew Rheum: Okay. Thank you, guys. Good quarter.
Robert Ben: Thank you. Thanks, Andrew.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Brett Davidson from InvestLetter.
Brett Davidson: Okay. Now it's sunny sixteen-degree Buffalo without any sun.
Gregory Peloquin: Sixteen? That's a heat wave, Brett. It's warmer than here.
Brett Davidson: Okay. So I'm intrigued by that design registration program for new products. I think you said there's over a hundred of those currently right now. How does that compare to, you know, last year or five years ago, you know, can you give me some context that is this a huge increase from what's normally seen or is this kinda standard fare?
Gregory Peloquin: Yeah. This is a program that we've implemented here many, many, many years ago, and it's for our field engineering organization. And every opportunity that they're working on or identified, they register, if you will, on our system. And that's the data. It lists, you know, part number, customer application, quantity, forecast, and that's the document that they use in the quarterly business reviews with the product and sales management team. And so as we add new products and as we add new technology partners, that list has and continues to grow every year over every year. Our conversion rate today is about 27% to 30% of that list, which, again, we've used this type of system for well over a decade. And that's kind of the norm. But it's a very detailed, I guess it's more of a sales and marketing management tool that we document every opportunity because, as you know, they can get lost and not focused on. And so one interesting thing to add to that is every opportunity is given a percent of that will be booked in the next six months. So you have a thirty, sixty, ninety percent number put on that, and we focus on what does it take to get that sixty to ninety, that thirty to sixty, and then that ninety percent group to a hundred percent. And that's greatly helped us manage our opportunities. Like I mentioned before, just with the Ultra 3000, we have well over forty different sites in North America that we're talking to to generate beta testing, alpha testing. So that's it's more of a software program that we use to track our opportunities globally, and it's grown every quarter since I came back about ten years ago.
Brett Davidson: So over the past five years, I mean, was it something like fifty and now we're at a hundred? And is this largely driven by the green energy?
Gregory Peloquin: No. Or it's currently, yeah. It can be green energy, RF and microwave, you know, anywhere we have, you know, technology partners, so the component side of it, and then the engineered solution side of it. I don't have the exact number right now or the growth of that over the years, but it's hundreds globally that the team's working on. I'll get you that number. I'll give it to you, Brett, and give you a call.
Brett Davidson: Okay. And yeah. I'm, I mean, I'm just curious what's the driving factor in the increase. Is it, you know, business-wide or is it tilted towards green energy?
Gregory Peloquin: You know, it's tilted towards the number of new products we introduce. Obviously, that generates more opportunities because you have more products to sell. When we sign these technology agreements, like you've seen, the press releases like Novitas. These are, you know, world-leading component suppliers. That generates more opportunities because you have more products to sell. And right now, looking at the percent, a majority of it in terms of the increase is, like you said, is green energy. Green energy applications, both component and then our own engineered solutions products.
Brett Davidson: Got it. Thank you.
Gregory Peloquin: You bet.
Operator: Thank you. At this time, I would now like to turn the conference back over to Ed Richardson for closing remarks.
Edward Richardson: Thank you again for joining us today. We certainly appreciate your investment and interest in Richardson Electronics. You're welcome to call us at any time. We're happy to speak to you individually for questions that we didn't cover today. And we look forward to our ongoing discussions and sharing our third-quarter results with you in April. Thank you very much.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.